Operator: Good day, ladies and gentlemen, and welcome to Quarter Three 2013 BankUnited Incorporated Earnings Conference Call. My name is Michelle and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today Ms. Mary Harris, Senior Vice President of Marketing and Public Relations. Please proceed.
Mary Harris: Good morning. It's my pleasure to introduce our Chairman, President and CEO, John Kanas. But first I'd like to remind everyone that this call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that reflect the company's current views with respect to, among other things, future events and financial performance. The company generally identifies forward-looking statements by terminology such as outlook, believes, expects, potential, continues, may, will, could, should, seeks, approximately, predicts, intends, plans, estimates, anticipates or the negative version of those words or other comparable words. Any forward-looking statements contained in this call are based on the historical performance of the company and its subsidiaries or on the company's current plans, estimates and expectations. The inclusion of this forward-looking information should not be regarded as the representation by the company that the future plans, estimates or expectations contemplated by the company will be achieved. Such forward-looking statements are subject to various risks and uncertainties, and assumptions relating to the company's operations, financial results, financial condition, business prospects, growth strategy, and liquidity. If one or more of these or other risks or uncertainties materialize or if the company's underlying assumptions prove to be incorrect, the company's actual results may vary materially from those indicated in these statements. These factors should not be construed as exhaustive. The company does not undertake any obligation to publicly update or review any forward-looking statement, whether as a result of new information, future developments or otherwise. A number of important factors could cause actual results to differ materially from those indicated by the forward-looking statements. Information on those factors can be found in the company's Annual Report on Form 10-K for the year ended December 31, 2012, available at the SEC's website sec.gov. John?
John Kanas: Thanks, Mary. Obviously, we're very pleased with the performance over the last 90 days. The numbers came in about where we expected a little bit richer on deposit growth than we had anticipated. I'll make a couple of comments on the loan growth that was about give or take $300 -- that on loan growth about $245 million of purchased mortgages, $165 million or so from the national subsidiaries, $265 million out of Florida, $350 million out of New York. You should, for purposes of being a little bit more accurate, add another $1 billion or so to loan growth because we did another $1 billion in operating leases, which are --
Leslie Lunak: $100 million.
John Kanas: I'm sorry, $100 million which are not reflected; add $100 million to the $1.1 billion, which are not reflected on the loan growth figure that came in by way of the operating leases. Total deposits were an impressive number for us this quarter, and already New York is responsible for about a third of that deposit growth. The tax adjustment that you see in our earnings release is responsible for about $0.03. Leslie can answer any questions you might have about that later. So you might call this quarter $0.49 versus what we expected -- what Street expected about $0.46. We continue to benefit from living in two of the fastest growing markets in the United States, Manhattan-centric New York, and Miami-centric South Florida. The South Florida market continues to show robust growth as real estate values continue to improve. I'd add that we're still not seeing a broad-based recovery in the entire state of Florida and, generally speaking, it's still true that the further north and west you go that the slower the recovery seems to be taking hold. But we are seeing some impressive numbers and a fairly dramatic improvement in the employment picture in the entire state of Florida. New York and particularly the New York metropolitan area continues to be healthy and grow, construction cranes are working all over Manhattan. Real estate values are continuing to improve and our section of the market, which are sort of mid-market operators and mid-market borrowers in both real estate and general C&I are getting healthier by the moment. So we are -- we continue to be optimistic out into the fourth quarter and into 2014 for a continuation of this kind of asset and liability growth. I think it's fair to say we continue to expect to see loan growth eclipsing deposit growth by some amount, but nonetheless we do expect to see deposit growth continue at these kind of rates that we've seen this quarter. So all in all not much to add to this other than we are beginning to hit on all cylinders here. Probably starting to think about opening one or two more branches in the New York metropolitan area. We got our eye on a spot in Brooklyn right now and we probably will begin to develop plans for one further east Long Island location sometime later in the year early next year based upon the demand that we're getting for our services in those markets. Generally, I have nothing more to say and would be happy to open up conversation to questions.
Operator: (Operator Instructions) Your first question comes from the line of Brady Gailey of KBW. Please go ahead.
Brady Gailey - KBW: John, what were you saying about the extra $100 million of growth from operating leases? Is that something that didn't happen in 3Q but in 4Q, what -- can you just clarify that?
John Kanas: No, no, no. You should add another $100 million worth of asset growth to the third quarter and that's a $100 million worth of operating leases, which does not show up in the loan growth figure.
Rajinder Singh: The $100 million of the growth is in other assets but it’s real, it’s operating leases we have put them in loans, but nevertheless it is an interest earning asset.
Brady Gailey - KBW: Okay, I got you.
Rajinder Singh: Loan growth is a $1.2 billion, not $1 billion.
John Kanas: So the total growth would be $1.2 billion.
Brady Gailey - KBW: And then, I know last quarter, you all provided a little bit of guidance on the margin fall into by year-end '13 fall in the kind of the 5.3% to 5.4%. And then by year-end '14, still remaining a little above 4%. Has that guidance changed at all?
Leslie Lunak: Brady, I think that's still about right. We may end up for the year ended 12/31/13 a little higher than that 5.3%, 5.4%, but I don't expect it to be a significantly higher than that. So I think that's in the ballpark, yeah.
Brady Gailey - KBW: And then, John, did you do anything different to get this higher level of deposit growth? Is there any focus here or is this just things are finally starting to kick in ahead? Why the uptick in deposit growth?
John Kanas: Well two things. For one thing we stopped kicking deposits out in Florida. If you had looked at our last eight or nine quarters you can see that we continue to ratchet down deposit costs in Florida and effectively really spent the last four years jettisoning deposits. We stopped doing that and so we stabilized our rates in Florida and that's resulted in deposits flowing in from the Florida, I think about a little more than $500 million of the deposits coming into Florida. And New York started to kick in. I said in the last quarter that the loans go on first and then the deposits follow because a lot of the deposit relationships that we take on in New York are complicated treasury management accounts that take a lot of time and effort to get loaded on to our systems and unload it from where they are. We expect by the way that will be affected dramatically at year-end because a lot of the accounts that are coming over from other places are waiting till the end of the fiscal year before they bring that business over here too so. That's why we're kind of encouraged about this. No, we had not -- we've not done anything special other than stop being unfriendly to deposits in Florida and begin to onboard the full relationships that we're getting in New York.
Brady Gailey - KBW: And then, finally, are you guys out of the M&A game? I mean, because with this level of organic loan growth I mean you're going to deploy your capital organically in the not too distant future, so I mean is M&A really on the backburner now?
John Kanas: Yeah, well, you know what I've said about this in the past. We just -- we would love to find a way to grow the franchise that way. But M&A -- frankly pricing in the M&A world is very unattractive in our view. There is not a whole lot to do in Florida. As you heard me say before, the institutions when you dropdown from us are very small and in this regulatory environment it's hard to get excited about exposing ourselves to the process of having to go through a merger application for something that's less than a $5 billion or so bank. Not to say that we wouldn't some day but it's hard to get excited about that. And with regard to the larger institutions in the northeast, as you know, the market has taken values up, I don't want to say universally but consistently for the whole industry, and we're having a hard time finding anything that makes sense. We're looking at a lot of these companies that we think are long-term potential pick out candidates and we think they're trading through the value of the company. So until that changes or until our stock goes to three tops book I guess we will continue to feel that way.
Rajinder Singh: Hey, Brady, we tend to go a little too to the left too to the right. I just want to be clear we're not saying that we are not -- we're out of the M&A game completely. As of just a week ago, we were still talking to people. So we continue to be in M&A dialogues but there is nothing that is imminent, which is no different from a quarter ago or a year ago. We will do a deal when it makes sense for us, and if it doesn't organic growth is great. We don't have to do a deal; it would be nice to get a deal on our terms.
John Kanas: Yeah, it's a good point. I mean I don't think a week goes by when we are not engaged in conversation with two or three and sometimes four different potential candidates, we just can't seem to get the numbers to work at least right now.
Operator: Thank you. The next question comes from the line of Rob Placet of Deutsche Bank. Please go ahead.
Rob Placet - Deutsche Bank: First question, I was just curious if you guys could give the mix of loan growth between Florida and New York?
John Kanas: Yes. I think we did that already.
Rob Placet - Deutsche Bank: Oh, I apologize.
John Kanas: That's okay. Give or take $260 million out of Florida, $360 million out of New York.
Rob Placet - Deutsche Bank: Okay, great. And then, is New York still predominantly commercial real estate necessarily what segments are you growing the most in, where do you see the biggest opportunities for growth in?
John Kanas: Are you taking about in New York?
Rob Placet - Deutsche Bank: Yeah, in New York.
John Kanas: New York is and always will be skewed toward commercial real estate, it's the biggest part of New York market and it's the part of the market that we've operated in successfully for many years. We are beginning to see growth in the pure C&I world in New York. And particularly, we've recently hired and added to the team of smaller business lenders in New York and expect to see that on a percentagewise -- on a percentage basis grow quicker than any other. But I mean I think forever and always New York will be dominated by some version of commercial real estate and that there is a wide spend of products within commercial real estate that would include owner occupied. It includes pure multifamily. It includes mixed used properties that are partially commercial and partially residential. It includes buildings that are underperforming where we finance a building for somebody at a little bit higher interest rate for customer that we know very well, work with him to prepare the building to a point where it cash flows later and can stand a conventional mortgage. So there is a wide variety of products within this sort of total category of commercial real estate, but I think you can expect that to continue.
Rob Placet - Deutsche Bank: Okay. And then in terms of the pace of loan growth in Florida, just given the continued rebound in the economy down there, should we expect that the pace of growth to increase down there or are you comfortable kind of growing at that pace you've been growing the past couple of quarters?
John Kanas: We're certainly comfortable with -- we're thinking about the pace remaining at least the same. We've had to back off of few deals in both Florida and New York because we don't want to meet the pricing competition. We are seeing vigorous pricing competition in both markets. Were it not for that loan growth to be much higher in both of these markets for us. But we are trying to be disciplined -- we are being disciplined, I know everyone says that right. But we are trying to be disciplined with regard to price and terms and we actually are seeing some competition with regard to structure of credits which is some -- which is an area that we are hesitant to play in. So I think it's reasonable to expect the same kind of growth. While I think the Florida market will accelerate its growth from here, at least into the foreseeable future, I think that our loan growth will stay about the same, perhaps increase a little bit.
Rob Placet - Deutsche Bank: Okay. And then just lastly I was curious if you had an outlook for the growth in your operating lease portfolio just given the nice uptick in balances there?
Leslie Lunak: I think it will be moderate from this point on, Rob. I don't see, I think that portfolio will continue to grow at a moderate pace.
John Kanas: That's a number that we completely control.
Leslie Lunak: Yeah.
John Kanas: There's a lot of business in that space if we want to go get it, but we're balancing that with our other taxable income.
Operator: Thank you. The next question comes from Erica Najarian. Please go ahead.
Erika Najarian - Bank of America: My first question I just wanted to get, John, some clarity on your comments on loan growth. You mentioned that you expect growth to accelerate in Florida, but the pace of overall loan growth to stay about the same. But given the momentum that you were posting in New York, if growth in Florida is accelerating and New York is going to continue on as is, shouldn’t we expect the pace of commercial…?
Rajinder Singh: Hi Erica, it's Raj. You should expect to see less growth in the residential side.
Operator: I do apologize; it seems that Erika has dropped off the question queue.
John Kanas: Erika, can you hear us?
Operator: (Operator Instructions)
John Kanas: She seems to be back now.
Operator: Please go ahead. Please go ahead, Erika, your line is live.
Erika Najarian - Bank of America: Yes. So the I guess the offset there, Raj, is that you're going to cease the residential real estate purchase program as the core loan growth gets better in both regions.
Rajinder Singh: Yes, we will see less -- you should see less residential loan purchase in the future.
Erika Najarian - Bank of America: And as we think about your run rate for expenses next year, as you continue to expand organically in New York, Leslie, how should we think about that $84.5 million of quarterly run rate in terms of growth rate for next year?
Leslie Lunak: So I think you're going to see that actually increase some probably starting next quarter as we have the full impact of the employees we've added in New York over the last two quarters, the full impact of the branches we've opened here for our quarter, some additional regulatory compliance cost. So I think you will see that go up $2 million to $3 million, say $3 million a quarter. And then, if we expand our branch network probably a little bit more on top of that. Not that much every quarter, and that's -- and that will be the new run rate, let me clarify.
John Kanas: Right.
Erika Najarian - Bank of America: So $2 million to $3 million additional for next quarter and then slight growth from there as we think about 2014?
Leslie Lunak: Correct.
Operator: Your next question comes from Herman Chan from Wells Fargo Securities. Please go ahead.
Herman Chan – Wells Fargo Securities: Can you give us an update on the loan yields you're getting on new production in the third quarter? And also, as benchmark yields drop a little, how do you expect pricing to trend in the near term? Thanks.
Leslie Lunak: So Herman, we're seeing on average, we're putting loans on for the quarter. This quarter they came on between $330 million and $350 million obviously that varies depending on by product type. But that's an average for the quarter. Little bit higher in Florida than New York but that's a function of product mix really rather than a function of market pricing. I don't think short-term volatility in benchmark rate has a marked impact on loan pricing. I think we need to see something more sustained before it really starts to impact our average yields.
Herman Chan – Wells Fargo Securities: And can you talk about some of the other lending activities on the national businesses, how much of a contribution should we expect from municipal lending and the like going forward?
John Kanas: We are pretty comfortable with the distribution of lending growth. As you can see it, both of these companies have the capacity to do significantly more business. I don't know, Leslie, what would you add to that.
Leslie Lunak: I think we saw about $165 million in growth in that business this quarter. I think that's probably a reasonable expectation going forward. Both books account for about $875 million of the new loan portfolio right now and about little more -- about half of that is the municipal business and the rest is the equipment finance businesses and that's probably that mix will continue for the near term.
Operator: The next question comes from Joe Fenech, Sandler O'Neill Company. Please go ahead.
Joe Fenech - Sandler O'Neill Company: Any preliminary guidance, Leslie, for how you're thinking about NIM for next year with what you're seeing among growth and then factoring in the FDIC accounting as well?
Leslie Lunak: So as we've stated in the past you're going to see the NIM continue to come down. You'll see it come down next quarter. That's a product of two things. One is simply new loans comprising a larger percentage of the portfolio. The other is some of these events in the covered loan portfolio that have been enriching the NIM for the last several quarters are going to begin to taper off over the next two to three quarters. So you are going to see NIM coming down quarter-by-quarter. Again we will probably be somewhere between 4% or 4.25% for 2014.
Joe Fenech - Sandler O'Neill Company: By year-end right? Not for the year?
Leslie Lunak: Well, yes, for the year.
Joe Fenech - Sandler O'Neill Company: Okay. And then the yield on the covered may be you alluded to excuse me, Leslie, was roughly flat linked quarter. Are we kind of at about the end of the reclassifications from non-accretable to accretable? Or do you think as things continue to improve because still see a little bit more of that?
Leslie Lunak: I think we will continue to see more of that. I think not now you can call me about this later if you want more details. We've had some impact on the NIM from mid to zero carrying value pull out that and that's what you're going to see come to an end.
Joe Fenech - Sandler O'Neill Company: Okay. And then, John, with loan growth a little stronger than expected any update on when you expect to work the excess capital down on what do you think is a more normalized level and then also with capital, the dividend yield, was that the higher end of your peer group not too long ago was probably more middle of the pack now, how do you sort of think about the other levers besides growth at your disposal to work down the excess capital?
John Kanas: Well, we've been saying sometime, Joe, that we think by third to fourth quarter so next year that we've effectively grown into the capital -- the excess capital that we have. With regard to dividend policy it's something that board and I have to talk about later this year. Obviously at this growth rate it calls to question as to whether or not we want us to obtain higher dividend out probably not and particularly since our expectation for this kind of growth for the next six quarter remains high. So we are really nothing, Joe, has really changed since we reported this last quarter and that is working down that excess capital ratio by later next year and then having to think about what we do about it at that time.
Joe Fenech - Sandler O'Neill Company: Okay. And then I guess lastly, Raj, you talked about the rationale for the allowance to non-covered loans coming down. You're at about 73 bps now I think in terms of the non-covered allowance to non-covered. Can you update us, Raj, when you are thinking on the reserve?
Rajinder Singh: I will let Leslie take this one.
Leslie Lunak: So this quarter in particular, I know we've stated this in the past, it's in our disclosures, our allowance is based on peer group proxy data loss factors because of the absence of historical data of our own. This quarter we did have a benefit so to speak because of peer group average loss factors came down pretty significantly this quarter. I don't really expect that to continue. I think we are probably going to see that start to level off. So provisioning we will probably go up next quarter that's our current anticipation. But it's purely been a factor of those peer group net charge-off factors coming down. And I think we're going to see that level off and stabilize.
Operator: Thank you. Next question comes from Gerard Cassidy of RBC. Please go ahead.
Gerard Cassidy - RBC: Leslie, coming back to the net interest margin, I think you said that we should expect a 5.35%, 5.34% by the end of the year, is that correct?
Leslie Lunak: Yes, may be a little bit higher for the -- on a year-to-date basis, Gerard.
Gerard Cassidy - RBC: That's what I'm going to ask. Was that for the full year you think will be that or just for the fourth quarter?
Leslie Lunak: Yeah. I think for the fourth quarter it may actually be a little bit lower than that, for the full year a little bit higher.
Gerard Cassidy - RBC: Okay. How much in the margin this quarter was favorably impacted from the income from the ACI loan pool that you carry at zero that you bring it to net interest income?
Leslie Lunak: Yes. So that had about 45 basis point impact on the NIM it's about $13 million.
Gerard Cassidy – RBC: Okay. And I think you indicated that that is going away, is that correct?
Leslie Lunak: Yes. It will trial off over the next two to three quarters and after that the impact will be de minimis, I would say.
Gerard Cassidy – RBC: Okay. On the reclassification from the non-accretable difference you guys reported it was $231 million through nine months. I think through six month it was $216 million. Any reason for the slow down versus the prior two quarters?
Leslie Lunak: Gerard, I would think that the portfolio would kind of start to stabilize really and the rate of improvement is probably slowing a little bit, a lot of the non-performing loans have been worked out of that portfolio. So I just think you got a more stable portfolio. However, having said that, it is somewhat unpredictable.
Gerard Cassidy – RBC: And John, not to get too political but obviously there is a Mayor's raise in New York and it seems like a very liberal candidate may win raising taxes on lot of these folks and such. Does that -- in talking to the folks that you are doing business with, are they concerned at all about what could happen to the city over the next two or three years and what that may mean for some of the success in the real estate markets?
John Kanas: Putting money together right now to run Raj against that guy. Well, it's a topic of great conversation in New York. I mean I can't say anybody's running around panicking and dumping real estate. But there is deep concern of course that a liberalized attitude in New York City could have a negative impact on the growth factor and safety and everything else that we've built up here in the last 20 years. I suspect, as is usually the case that candidates say a lot of things to get elected and we're hopeful that if de Blasio does get elected that he'll move to the center on some of his policies as reality sinks in. So sure, it's discussed, but it's in that category of we're going to have to live with whatever happens here. I will say that tremendous amount of Manhattan's growth is coming non-U.S. sources. We are the receptacle for flight capital from all over the world as these gigantic condo towers going up in the middle of town and selling units for $15million, $16 million, $17 million, $18 million a piece and I think that the momentum behind that movement is very strong and unlikely to be very much affected by local politics for at least a few years.
Operator: The next question comes from the line of Brady Gailey of KBW. Please go ahead.
Brady Gailey - KBW: Just a quick follow-up. Private equity still owns a third of your bank. I think they hit the five-year mark from initial investment in May of next year. I know they have already sold down a couple of times. But do you think -- what do you think happens with that ownership piece as that gets closer and closer to the five-year mark. Are they in it for the longer term or do you think they'll be forced to harvest some of the gains here?
John Kanas: Hey Brady, what we've commented about this before is that, as you know there's not exact -- the relationship between private equity owners and regulators is not perfect. So from the standpoint of the bank and its shareholders in the future it would be nice to get the private equity guys down at least below 5% over some period of time, and I think that our desire to do that is consistent with their desire to over time lighten their investment. It wouldn't be surprising to see over the next couple of years; a couple of small secondaries to reduce their positions even further. There is -- they continue to act with management and in concert with the best interest of the company. So to -- sort of to summarize, I think both we and they would like to see it get below 5% over some time period in the future but in a non-disruptive way.
Brady Gailey - KBW: And are you talking about 5% in total or 5% per private equity firm?
John Kanas: No, 5% per guy. Right now, I think the three big guys are at a little bit over 8% and Centerbridge is a little over 6%. So it wouldn't take a whole lot more to get them down to each being under 5%. And once they are under 5% by the way, they are in my -- at least as I understand it right now, off the radar screen from the standpoint of the Federal Reserve and we are -- they are released from some of the agreements that they have made. And it does free the bank up to do business with many and many of their subsidiary companies that we are prohibited from dealing with today. So there is big benefit to both us and them, I think in the future to work them down to a little bit lesser level.
Operator: The next question comes from the line of David Darst of Guggenheim Partners. Please go ahead.
David Darst - Guggenheim Partners: Leslie, would you kind of runback over some of your loss methodology on the reserve and provisioning and just may be help us or help me understand how to think about the way you're reserving for loan growth?
Leslie Lunak: Sure. I mean, it's not a real fortunately, I guess it's a real complex methodology. But basically, we're applying a peer group net charge-off factor to loan balances essentially, for past rate and loans, which is by far the sizable majority of the portfolio. And so those peer group loss factors are impacting our reserve. This quarter, we saw a noticeable remark decline in those peer group net charge-off factors, which resulted in smaller loss factors being applied to the portfolio. I don't expect those declines to continue. I think those are going to -- we think that's going to stabilize. So we will see probably provision expense increase over the next couple of quarters a little bit. Since we won't have -- it's sort of a one-time benefit in those lower loss factors being applied to the whole portfolio, this resulted a little bit lower provision for this quarter and bringing the ratio or the allowance to loans down a little bit, in whichever way.
David Darst - Guggenheim Partners: Right. And then there's the fact that that methodology suggested reserve release whereas you're still entering --
Leslie Lunak: Right because of growth, yeah.
David Darst - Guggenheim Partners: (Inaudible) of your loan growth. Right, right.
Leslie Lunak: Yes, because of growth, exactly.
David Darst - Guggenheim Partners: And then within your expense base just if you look at the $44 million of kind of personnel numbers as the covered loan portfolio and the related internal expense for managing the workout process declines, how much might be embedded in that number if you could then redirect into supporting revenue growth?
Leslie Lunak: That I can't really give you a number off the top of my head, David, but certainly that is occurring. Those people as that portfolio runs off those people are being repurposed to servicing and managing that the loans that we're putting on the books. So we're not adding a lot of back office servicing portfolio management type expense as we grow the new loan book.
Operator: Next question comes from the line of Matthew Clark, Credit Suisse please go ahead
Matthew Clark - Credit Suisse: Leslie, can you please clarify that the margin guidance. You said the upcoming quarter I believe you said a little bit better than 5.3%, 5.4% but then it sounded more like the full year. And then for the next year is the 4% to 4.25% you're guiding to for the fourth quarter or again for the full year?
Leslie Lunak: It's for the full year, and again next quarter I'd expect the yields for the quarter to be a little bit below that 5.3% to 5.4%, but I would expect the yields for the full year to be that or a little bit higher for 2013.
Matthew Clark - Credit Suisse: And then for New York can you update us there on the size of the pipeline and I assume you still are onboard with getting that run rate close to the 500 for the fourth quarter or is that may be pushed up because of competition?
John Kanas: No, that pipeline in New York is stronger than ever. And as time goes by we expect although Florida is doing remarkably well I would expect that New York would begin to catch up and equal the kind of loan growth we're seeing in Florida over the next couple of quarters. I'm not make a comment here about loan growth because these eye popping numbers certainly are contradicted by other institutions in other parts of the country. I remind you a number of things. These we have invested very heavily over the last two years in the lending function in our bank getting ready for a recovery in both New York and in Florida. So some of that what you're seeing is a result of us having gotten prepared for this very early. Also as a mid-cap OCC Bank, as you know all banks in our category are required to put a three-year business plan up in front of the regulators and update that plan at least annually. And everything that you're seeing by the way is consistent with -- is completely consistent with everything that we have mapped out toward the regulators for this year and for the next couple of years. So while these are eye popping numbers they are completely consistent with what we thought would happen as a result of our positioning in both of these markets during this time. I'm going to assure you that regulators are very focused on our loan growth and are sitting on our shoulders watching this loan growth to assure themselves that that this is not a reckless kind of a behavior but in fact simply a byproduct of growth in these markets. And remember that we continue to benefit greatly by the return of our old customers in New York, which that the volume of which continues to increase and we will increase in the foreseeable future.
Matthew Clark - Credit Suisse: And then in the New York pipeline, I think it was $1 billion last quarter, where does that stand, I guess today?
John Kanas: It's a little more than that.
Matthew Clark - Credit Suisse: And then on the comp expense line, I think the expectation was that was going to be up may be a little bit more this quarter. So you guys have I think hired everybody you need and I think you've guided that you expect your expenses to drift higher with everybody fully baked in, but just curious why maybe it's held in a little bit better than expected this quarter.
Leslie Lunak: Just think of the factor of timing of it being brought on --
John Kanas: It's timing, correct.
Leslie Lunak: Over the last quarter or so I think you will see the full run rate next quarter.
Operator: You have no questions at this time. (Operator Instructions).
John Kanas: Hearing none, I just want to thank you all for taking time to listen to our report today. Obviously, we're very pleased. We continue to be very optimistic about this kind of growth for the future for BankUnited. We are one of the few growth stories in this industry and we expect to continue to be one of the few growth stories in this industry out over the next year or two and are very anxious to get on with 2014, which is lining up very strongly for us. We would, I know everybody likes to talk about M&A. We continue and I repeat what Raj and I both said earlier, we continue to look for opportunities to grow this franchise through inorganic ways. But frankly when you're growing loans by $1 billion a quarter and being able to handpick your own people to make those loans and handpick your own borrowers and being able to leverage up operationally in New York by the fact that we're having this kind of loan growth with only four branches in the city, it's tough to make the economics at least to find compelling economics to support the idea of an inorganic opportunity. Although we're hopeful and we think that as hopefully that as things change overtime and other franchises aren't growing as quickly as we are and might seek opportunities to combine with us, we would love that opportunity but right now we just don't see it. So thanks again for dialing in and we will talk to you in 90 days.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Enjoy the rest of your day.